Operator: Good day and welcome to the Delta Petroleum Third Quarter 2010 Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions). Please note this event is being recorded. I would now like to turn the conference over to Broc Richardson, Vice President of Corporate Development. Mr. Richardson, the floor is yours, sir.
Broc Richardson: Thank you, Mike, and thank you, everyone for joining us for Delta’s third quarter 2010 financial and operating results conference call. Before we begin, I would like to remind you that we are conducting this call under Safe Harbor and that this call will include projections and forward-looking statements within the meaning of the Federal Securities laws and are intended to be covered by the Safe Harbor provisions protected thereby. In that regard, you are referred to the cautionary statement displayed on Delta’s website, which is incorporated by reference with respect to the information provided for this call. Investors are urged to consider closely the oil and gas disclosures and the risk factors set forth in Delta’s Form 10-K for fiscal year ended December 31, 2009 as updated by subsequent periodic and current reports on Forms 10-Q and 8-K respectively. Today’s speakers from Delta are Dan Taylor, Chairman of the Board; Carl Lakey, President and Chief Executive Officer; and Kevin Nanke, Treasurer and Chief Financial Officer. With that, I will turn the conference call over to our Chairman, Dan Taylor.
Dan Taylor: Thanks Broc. Good morning, everyone. I would like to discuss a few highlights regarding our results and efforts in the third quarter before turning the call over to management. We completed four wells in the Vega area during the quarter. The results of these wells like the ones before with the redesign completions continued to perform as well or better than expected. Carl will discuss these completions in greater detail in his comments. During the quarter, as a result of the asset sale, we underwent another reduction in our employee base. While reductions in staff are always difficult and painful, especially in the current economic environment, we must make the necessary adjustments to official manage our asset base. Kevin will discuss the impact of the staff reduction on G&A expenses. As discussed in our last quarter conference call, Kevin and our financial personnel have been focused on securing a new credit facility to replace our current one, which matures in January. We realized that the progress on this has been slower than we anticipated, but we believe we’re very close to having a commitment letter and expect to have the facility in place by the end of this month. Kevin will discuss the status of our refinancing efforts in his comments. I would briefly like to add a comment on Delta’s direction and strategy. Over 80% of our production is natural gas and virtually all of our undeveloped leasehold sits on probable natural gas reserves. We monitor the current price and forward curve of natural gas and are definitively aware of its recent erosion. We certainly have no control over gas prices, which affects our financial performance and our stock price more than anything else. We have and continue to focus on controlling our capital spending and reducing our operating cost in an effort to improve our operating results with a laser focus on improving the risk reward profile of our primary asset to improve completion methods and testing of additional zones. We continue to believe the natural gas prices will rebound at some point. We believe that we have an ideal natural gas asset in the Piceance basin and we are positioning the company to excel when this price recovery occurs. I will now turn the call over to Carl for his comments on operations. Carl.
Carl Lakey: Thank you, Dan. You’re exactly right that we are completely focused on working and changing the things that are in our control with the knowledge and confidence of improving the fundamentals of the business will make Delta stronger and whatever the commodity price of the future holds. With that in mind, the company closed on a $130 million Wapiti transaction and successfully worked with Wapiti to finish the post-closing items related to the release of the funds held in escrow. With that transaction now successfully completed, our undivided focus sharpens totally on our core asset in Piceance basin. The two additional wells that we completed in the Vega in the third quarter using a new stimulation techniques are performing very well thus far. We have five wells to date that have been completed using this new fracture stimulation procedure and all continue to support the higher expected reserve recoveries of approximately 1.7 Bcfe per well. We will continue to provide updates on these wells in the future quarters as they are indicative of the upside potential remaining under roughly 1,960 under a well locations in the Vega area. It is important to know that the in addition to the two new completed inventory wells in the quarter, Delta also performed to uphold recompletions using the new stimulation techniques. These recompletions are performing well and appear quite attractive from a cost benefit standpoint. In October, we completed four additional wells of our Vega inventory using the new stimulation technique. That leaves nine remaining wells in the inventory for the rest of fourth quarter and into the first quarter depending on frac crew availability. Delta has also made progress in its lease reservation initiative in the Vega area. At the beginning of 2010, Delta had 3,600 acres or 16% of its leasehold that would term by the end of 2012. As of today, Delta has 720 acres or 3% of the acreage that is at risk or has expiration by the end of 2012. Delta’s drilling obligation has reduced from seven wells by the end of 2012 and the completion of one inventory well to one new well by Q2 2011 and the completion of one inventory well to hold the 2,880-acre difference. This work by the land team will allow Delta greater flexibility to direct future capital to the best returning projects as opposed to drilling the whole leases. Also discussed in last quarter’s call was a planned reduction in G&A. Anchoring that reduction is a work force downsizing that left Delta with roughly 50% reduction in salaries from the year-ago levels. From a personnel standpoint, I now consider Delta a lean operating company. Other initiatives tax or initial cost points in the G&A structure do continue. Finally, as mentioned in our press release, we are reaffirming our production guidance that was provided last quarter. We stated expected production in the third and fourth quarter to total between 6.9 Bcfe and 7.2 Bcfe. We continue to believe that our production will fall in that range, so fourth quarter production was expected to be between 3.25 Bcf and 3.55 Bcf. I will now turn the call over to Kevin Nanke, our CFO, for discussion of third quarter financials.
Kevin Nanke: Thank you, Carl. Good morning. For the third quarter, we recorded total production of 3.65 Bcfe and EBITDAX for the third quarter was $8.6 million, a 23% increase from the second quarter. Our lease operation expenses per Mcfe decreased approximately 14% from the second quarter. This decrease can primarily be attributed to lower water hauling costs in the Vega area due to the resumption of our drilling plan. The increase in G&A for the third quarter is due to severance costs associated with our personnel reduction that was completed during the quarter, as well as a $1.4 million bad debt write-off that DHS took for an un-collectable receivable. In the last quarterly conference call, we discussed the over hedged situation on our oil volumes for the fourth quarter. This was a result of the sale through Wapiti. Subsequently, we bought out of our over exposure on our oil production and now we’re approximately 70% hedged on oil for the remainder of the quarter. A $17.75 million held in escrow from the Wapiti transaction pending the receipt of the third-party consent have been released and those funds were used to reduce amounts outstanding under the credit facility. Currently, we have approximately $20 million of liquidity and are current on all of our obligations. We mentioned previously we have been seeking a new senior credit facility that will replace our existing facility. I’m aware that we did not make our initial estimated timeframe and have the new facility committed by the end of the third quarter. At the time of our last conference call, we were in discussions with potential lenders and with one in particular that was advancing sufficiently to merit the expectations of that timeframe. However, another potential lender came into the process a bit late and this lender has provided a more comprehensive solution. We’re very close to the conclusion of the credit approval process with this potential lender. We’re optimistic about the process and expect to have a response shortly. When we reach the conclusion of this process we will announce it publicly. With that, we will open up to questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions). The first question we have comes from Jeff Davis of Waterstone Capital. Please go ahead, sir.
Jeff Davis: Hi, and thanks for taking my call. Just curious if you might take a moment to discuss what you’re thinking about the revolver, the credit facility is related to, to convert if there’s going to be a springing maturity or if you’re thinking through these looming put on the converts. And then the second question would be, just curious if you can talk about any recent Mancos activity near your Vega properties, if there’s other operators that are drilling some of the deeper stuff that’s going on in the Piceance and what you’re hearing or any plans you have yourself to drill deep. Thanks.
Kevin Nanke: This is Kevin. I’ll take the first question – first part of that question. We’re clearly aware of our put obligation. On May of 12, we’ve had our internal discussions and probably won’t make that information public until we have a new facility put in place. But we are well aware of that and are working towards a solution on that.
Carl Lakey: And this is Carl. I’ll tackle the second piece of that which is Mancos activity. In Delta, we will not comment on competitor activity and what their plans or results are. Certainly we are aware of Mancos activity in the Piceance Basin, particularly in the western and southern Piceance Basin. And you may have noticed that Delta permitted the well that actually did spud in mid-October to test deeper horizons for the Williams Fork at Mancos feed [ph] one of those are licensed. We’ve used the incremental cost beyond stand up Williams Fork well of about is $2.5 million to be worth the expenditure for Delta to understand the magnitude of the resource that potentially exists underneath the Williams Fork.
Jeff Davis: How many of those wells would be permitted beyond this?
Carl Lakey: Most of the wells, I’ll say it that way.
Jeff Davis: Okay. And then, obviously, you can talk or maybe comment as well on what your thoughts are on a JV or some other structure where you can bring in another party. Obviously we have gone down this past once already, but if that’s continuous to be something that you’re striving for.
Carl Lakey: I think at this stage Delta will consider all opportunities to better the shareholders’ position and JV is one way to do that, but we’re certainly not foreclosing or presupposing what the answer will be for Delta.
Operator: The next question we have comes from Andrew Shapiro of Lawndale Capital Management.
Andrew Shapiro: Hi, good morning. From the last conference call you discussed how the salary and benefits were expected to be down by about one-third ex-severance costs, and I think the figure discussed was maybe around $4 million. And from what I can tell with your reduction in your G&A adding back your $1.4 million of this non-recoverable write-off that’s still a bit shy of the $4 million. So can you tell me what reductions from last quarter levels have yet to occur and what amounts in this quarter’s $10.3 million line item are one-time nonrecurring in nature in addition to that $1.4 million of write-off?
Kevin Nanke: Yes Andrew, the savings on the reduction in floors really does, won’t go into effect till the fourth quarter.
Andrew Shapiro: Okay.
Kevin Nanke: And we are – I think we do have to make those payroll savings, salary savings at approximately $1 million a quarter, so we’ll still stay by that number. There’s a number of items that are running through there the G&A which include, like I said, the DHS receivable and then severance costs relating to the general staff of about almost $600,000. And then you have John Wallace severance package, which is actually recorded in a separate line item, but –
Andrew Shapiro: What can you provide on normalized cost range investors should use for your G&A once this is all flushed out, is it as low as $7 million or lower?
Kevin Nanke: We probably are not comfortable giving a normalized G&A rate as of this time, but probably we’ll have something that can be supported at your end.
Andrew Shapiro: Okay, great. Thank you on that one. Now a follow-up here on the financing. On the last call you expected the new loan agreement closing obviously by the end of September and that was with a particular lender who seems has been outbid by more aggressive or broader thinking lender that you’re not talking to. You were looking for 50 million to 75 million from a borrowing that you could get off of your borrowing base with a less aggressive or the smaller thinking lender. What’s your current range that you think is realistic with this new lender you’re going down the road with?
Kevin Nanke: I would say that we are looking at the same size facility as we discussed in the last quarter.
Andrew Shapiro: Okay. And this lender is attractive to you because it’s what less collateral required more aggressive rate margin?
Kevin Nanke: No, like I said they cannot bring a more comprehensive approach and also the terms are more reasonable.
Andrew Shapiro: Okay.
Kevin Nanke: And in line with expectations.
Andrew Shapiro: Okay great. And last quarter you said Delta had tight service availability. Did the problems remain in getting crews and things to get the remaining wells completed as planned?
Carl Lakey: Andrew, we’re still – this is Carl. We’re still working through that. Crew service availability continues to be tight, primarily due to at least in the Rockies due to activity from oil operators in the Bakken who have sucked up the frac crews and drilling rigs to a material extent. So we’re working through it, we’re able to get our program executed, and so far so good, but it remains a day-to-day battle.
Andrew Shapiro: Okay. I’ll back out into the question queue. I have a few more so please try to come back to us then we’ll get back in line.
Operator: And the next question we have comes from Kevin Cabla of Raymond James.
Kevin Cabla: Good morning guys. I know you had an inventory, a total inventory of about 15 wells to complete, but guidance kind of only included I guess 13 completed wells for the second half. I guess with the carryover you have of the 8.5 million for the fourth quarter coming in this quarter, could you actually complete all 15, are you guys just going to stick with the – I mean the 13 total, so 9 for this quarter?
Kevin Nanke: I think we’re still going to stick with the numbers we put out there previous. Frac crew availability and the addition of this additional test well may impact that possibly or make it good.
Kevin Cabla: Okay. And so I guess could you give a little bit more color on the completion costs? I know last quarter you guys said it was like a little over a million for completion. Is that still in the range?
Carl Lakey: I think we’ve been running about 1.2 million for completion based on the last numbers we’ve been tracking.
Kevin Cabla: And then do you have an idea of or I guess an AFE for how much this William Fork well is going to cost?
Carl Lakey: Again, I’d guide you to about $2.5 million over what a standalone believes Fork well will be.
Kevin Cabla: Okay. Well that’s all I got. Thanks guys.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Carl Lakey: Thank you all for attending Delta’s conference call for Q3 2010. We appreciate your participation and look forward to providing future updates. Thank you.
Operator: And we thank you for your time gentlemen. The conference is now concluded. We thank you all for attending today’s presentation. At this time you may disconnect your lines. 